Operator: Ladies and gentlemen, thank you for standing by and welcome to the Pintec Technology Holdings Limited's Full-Year 2019 Earnings Conference Call and at this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that this conference is being recorded. I would now like to hand the conference over to your first speaker for today, Ms. Joyce Tang. Thank you, please go ahead.
Joyce Tang: Thank you, operator. Hello, everyone, and welcome to Pintec's 2019 full-year earnings conference call. The company's financial and operational results were issued earlier today and are posted online. You can also view the earnings press release by visiting the IR website at ir.pintec.com. A replay of the call will be available on the IR website in a few hours. Participants on today's call will be Mr. Allen Dong, Chairman and Acting CEO of Pintec and Mr. Steven Sim, CFO of Pintec. Management will begin with the prepared remarks and the call will conclude with a Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provision of the U.S. Private Security Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the news in press today. Further information regarding these and other risks and uncertainties is included in the company's prefectures [ph] and other public filings as filed with the U.S. Securities and Exchange commission. The company does not assume any obligation to update any forward-looking statements except as required under the applicable laws. Please also note that Pintec's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Pintec's press release contains a recalculation of the unaudited non-GAAP financial measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our Chairman, Mr. Allen Dong. Please go ahead.
Allen Dong: Hello everyone. Thanks for joining the call today. 2019 was a year of conformation for Pintec as well as the Chinese technology industry. In the face of challenging microenvironment, we’ve adapted to the evolving market dynamics by continuing to inform our business and switched to those new growth strategies, which should enable us to enhance our long-term competitive advantages and sustainability. At the same time, we continue to expand our partnership base by providing high quality, customized, and reliable technology services to organizations. In addition, we are focused on reducing our potential risk exposure by enhancing our risk management capabilities and eliminating our reliance on the connected party, Jimu. Therefore, also our revenues declined in 2019. Our profit margins expanded, and our credit risk profile improved. Looking ahead, as we enter 2020, we have a lighter cost structure, a more nimble growth strategy, and better service offerings. We have the capital, the team, and the technology in place to help us not only survive, but also thrive over the long term despite the current economic uncertainties. For our loan facilitation business in 2019, the total volume of loans we facilitated decreased by 25% over the year to RMB 11 billion. This contraction was caused by both uncertain micro conditions and our decision to terminate certain high-risk loan products. To fill this gap, during 2019, we shifted our focus to accelerate the development of our point-of-sales loan business and to refine our service offerings to expand our base of large-scale partners. In particular, we are focused on the development of point-of-sales personal loans, which have higher margins and better asset quality in general. Through our such efforts, we have we have further enhanced our loan quality, improved our product margins, and reduced our credit risk exposure. In online travel vertical, for example, we made our point-of-sales installment loan services accessible to all users of the two leading online travel platforms in China, Ctrip and Qunar. Besides that, for telecom carriers we continue to strengthen our partnerships with the three dominant mobile telecom operators in China; China Mobile, China Telecom, and China Unicom. As a result, 71% of our total loan facilitation in 2019 was generated through point-of-sale loans, and point-of-sale personal loans accounted for about 50% of our total loan facilitation in 2019 compared to only 20% in 2018. During this year, as the global economy showed its weakness and the credit cycle revealed a downturn, we've systemically reduced our loan facilitation business risks by further optimizing our risk management procedures. As a result, the delinquency rates of loans, which we facilitated in 2019 remained stable, while the vintage delinquency rate of our point-of-sale installment loan remained manageable at 1.5% throughout the same period. Secondly, for funding sources, we persisted in expanding our partnership with financial institutions. To make such collaborations more sustainable, we strive to continually monitor and adjust our asset quality for our funding partners. For example, during the first quarter of 2019, over 95% of our total loan volume was funded by non-P2P financial partners. 78% of our total volume in 2019 was funded by non-P2P financial partners compared to that of 51% in 2018. Such promising results illustrate the good progress that we have made on this front as we continue to partner with more licensed financial institutions, and thus significantly reduced our dependence on both P2P funding and connected party Jimu. In fact, we have suspended our funding partnership with Jimu since it announced its exit from P2P business in February 2020. Similarly, we have eliminated all of our potential exposure to those risks related to Jimu, allowing us to pursue our growth prospects more independently in the future. During 2019, we started to offer risk sharing services to a selected group of financial partners as a way to deepen our existing relationships and cultivate new partnerships with financial institutions. We began to offer risk sharing services in order to comply with the prevailing business practice of China financial services industry. At the same time, we are aware of potential impact from risk sharing services due to asset quality volatility, and thus we have remained extremely cautious regarding our selection of organizations which we offer risk sharing services to. In the second half of 2019, we made a cautious decision to wind down our risk-sharing businesses. Meanwhile, the outbreak of COVID-19 also encouraged us to accelerate this process. Although, the decline in revenues generated from our risk-sharing businesses were unavoidable, impacted our financial performance in the short term, we believe that this is the right long-term decision since it will help us to sharpen our business focus, enhance our asset-light capital structure, and improve our cash flow and profit margin, all of which are essential to achieve sustainable growth going forward. Looking into the rest of 2020, we anticipate high systemic risks and a greater macroeconomic uncertainty. In order to mitigate such risks, we will remain focused, continue to focus on the development of our technology-enabled strategy. We also plan to continue prioritizing this investment which can enhance our technology capabilities, expand our partner base, and accelerate our development on new business initiatives. Now, I would like to use the rest of this call to go over our key business developments, initiatives in place for the remainder of 2020 and beyond. First, our ability to empower our partners with risk-free technology service will be a key strategic focus for us during the rest of the year. We have already started to provide digital retail credit solutions and system software services for personal credit loans, point-of-sales installment loans, and microloans on this front. Our financial partners, for example, China National Investment & Guaranty Corporation, or [indiscernible] is a good example of how we use our cutting-edge technology to accelerate our partners' business expansion. Given our technology, we are able to provide [indiscernible] with a series of technology solutions, which enable them to successfully interface with the operating system of several major asset platforms in China. We’ll also with [indiscernible] to jointly develop intelligent lending solutions and thus help to further refine fintech service offerings. Shinza [ph] Financial Leasing is another good example of how risk-free technology service are well positioned to continue growing in the future. We partnered with Shinza Financial Leasing to help develop its data interface capabilities using our SaaS solution. As a result, Shinza was able to interface with BestPay, one of the largest mobile payment service platforms in China and thus will be capable of collecting feedback data from BestPay's platform. The ability to collect this data is highly valuable to Shinza and it can analyze the data for risk evaluation and for sale lead generation purpose. This is particularly useful for its installment package. Another example of this type of work is our partnership with [indiscernible] Factoring. We are assisting [indiscernible] Factoring with its initial use of credit screen process, through which we can utilize our system to generate recommendations through the company based on the users credit profile. Furthermore, we are also developing a management system for the company to help streamline with both its daily operations and its information synchronization process with other platforms. Our ability to empower business through our technology has also helped us to expand globally. During 2019 for example, we adjusted our globalization strategy to focus on providing those technology solutions which are not affected by local licenses and the policy so far are key target markets. In March 2019 we acquired InfraRisk, a leading fintech service provider in Australia. That has successfully developed an automatic credit process management tool called Credit Value Maximiser or CVX. It should be noted that multiple international financial institutions have already adopted CVX including the National Australian Bank, Toyota Finance and Judo Bank. We expect to further expand CVX's footprint in Europe this year, leveraging toward financial market resources while also continuing to take market share in both Australia and Asia Pacific markets. Furthermore we believe that CVX has strong potential in China as well, especially in the supply chain finance industry. As such, we are currently in the process of bringing the technology into China as well as formulating partnership agreements with multiple large trading groups around the world. On the wallet management front we continue to develop business of digital wallet management solutions. So far these solutions have enabled us to further expand the scope of our work with existing partners such as Bank of Nanjing and the [indiscernible] Provincial Associated Press. Furthermore in line with our commitment to upgrading technology comparatives, we have developed a Robotic Process Automation Solution also called RPA Solution, which can be used in a variety of business scenarios. In 2019 for example, we used our RPA Solution to help Major [ph] Exchange Automation, a portion of its human resources, finance and routine office work functions. Following this initial process and success, we have established an innovation center in Shanghai to promote the adoption of RPA Solutions with financial institutions. We also aim to further strengthen our alliances with East West Bank. Besides helping East West Bank with providing efficient digital banking services to its customers, we plan to use this collaboration as a successful case and help other commercial banks with their digital transformation process in similar fashion going forward. On the personnel front, we are pleased to appoint Dr. Victor Li as our Executive Vice President, who is in line with our strategic shift focused on growth of our technology service capabilities. In this role, Victor will oversee the daily operations of our business. Victor joined Pintec in March 2019 and had previously co-chaired our International Business Division prior to this most recent promotion. Victor is a thorough entrepreneur, an IT industry veteran, with more than 20 years of experience in building and commercialization of state-of-art technologies. He has held multiple senior executive positions in both China and Australia and accumulated a comprehensive set of industry experiences in such areas as R&D, consulting, business development and management. Victor is passionate about using AI and big data technology to help improving automation and analytics of our customers business and operations. In terms of licensing related business, our current license including internet micro-lending license, factory, commercial credit reporting, fund sales and insurance brokerage. Notably our wholly owned internet micro-lending subsidiary GanzhouAixin has already successfully interfaced with PBOCs credit reference center. The approval of Aixin by the PBOC and the success of its subsequent interface with the CRC further proves our comprehensive risk management capability and assured commitment to maintain the highest possible regulatory compliant vendor. Looking forward, we expect that our continued expansion of Aixin Financial Solutions and the refinement of Aixin’s products offerings will help us further diversify our revenue streams and expand our footprint in internet micro-lending sector. In order to expand our profitability and reduce our exposure to the risks, we also plan on winding down our loan facilitation business significantly in 2020. The epidemic severely impacted the per capita disposal income of Chinese customers in the first half of 2020 and we expected that this impact will increase the risk associated with the loan facilitation services in China and going forward. In responses to this trend we have adopted an extremely cautious approach to manage our risks sharing loan facilities service in 2020. As a financing service provider with the most advanced technology capabilities and a fintech solution provider with the most practical financial service experiences, we have created a unique economic mode. Moreover our ability to empower our partner through technology, innovation as well as our accumulation of financial service licenses continue to fuel our sustainability in the industry. Going forward, Pintec remains confident that this differentiated characteristics along with our positive cash flow and efficient cost structure will enable us not only weather the current headwind in the near future, but also capitalize on this market opportunity will emerge following the epidemic. With that, I will turn the call over to our CFO, Steven Sim to review our 2019 financial results in more details. Thank you.
Steven Sim: Thank you, Allen. Hello everyone. Before I start the review of financial results, please note that we have made the decision to appoint a new independent registered public accounting firm for the fiscal year ending December 31, 2019. As a result of the appointment, we have revisited our consolidated financial statements for the years ended December 31, 2017 and 2018 and identified certain material misstatements. In line with this discovery process, we decided to restate our previously issued consolidated financial statements for the years ended December 31, 2017 and 2018. Furthermore, effective from January 1, 2019 we have adopted the guidance in Accounting Standards Codification Topics 606, Revenue from Contracts and Customers. Using the modified retrospective approach and change our accounting method for revenue recognition in 2019 as a result. The adoption of ASC 606 and subsequent restatement mentioned earlier as well as other financial information, please refer to our full year 2019 earnings release distributed earlier today. In addition, please note that all numbers presented in the following remarks are in RMB terms. Now let’s move on to our financial results for the full year of 2019. Our total revenues in the full year of 2019 decreased by 19.9% year-over-year to RMB1.285 billion. The revenues from technical service fees decreased by 17% to RMB1.077 billion from RMB1.297 billion in the full year of 2018. During 2019, we begin to share credit risk for off balance sheet loans with selected financial partners. As a result we generate the risk sharing technical service fee as part of our revenue from technical service fees in the full year of 2019. This update is in line with our recent business development and helps to provide investors with increased transparency surrounding our financial performance. Revenues from installment service fees decreased to RMB187.4 million from RMB291.1 million in the full year of 2018. This decrease was attributed to the reduction in our un-booked installment loan volume which was in line with our ongoing strategy to refine our total [ph] structure. Revenues from wealth management service fees increased by 36% to RMB20.1 million from RMB14.8 million in the full year of 2018 which was primarily attributable to the steady development of our insurance solution offerings. Cost of revenue in the full year of 2019 decreased by 29% to RMB769.7 million from RMB1.084 billion for the full year of 2018. The reduction was due to lower volume of company on book loan business, which resulted in the decrease - which resulted in decreased funding costs and provisions for credit losses. Cost on guarantee in the full year of 2019, increased to RMB193.4 million as the company began to share the credit risks for off balance sheet loans with a larger group of selected financial partners. Service fee charged by Jimu Group in 2019 decreased to RMB200.2 million from RMB529.6 million in 2018. The decrease was primarily due to the adoption of a new cooperation model with Jimu Group since 2019 under which the company reimbursed Jimu Group for part of the losses under loans that we facilitated using Jimu Group as a funding source that were not recorded on our balance sheet. Origination and service costs in the full year of 2019 decreased by 10.2% to RMB290.4 million from RMB323.3 million in the full year of 2018, primarily due to a decrease in user acquisition costs in connection with the decrease in volume of loans facilitated, which was offset by an increase in service fee for loan collection. Gross profit in the full year of 2019 was RMB515.5 million compared to RMB518.9 million in 2018. Gross margin for the full year of 2019 was 40.1%, this compared with 32.4% in the full year of 2018. Total operating expense in the full year of 2019 increased to RMB1.244 billion from RMB507.6 million in the full year of 2018. Let's now review the breakdown of operating expenses in the full year of 2019. Sales and marketing expenses in the full year of 2019 decreased by 30.2% to RMB69.6 million from RMB99.7 million in the full year of 2018. The decrease was as a result of the ongoing efforts to refine our product mix and wind down our offline personal installment loan business that latter of which we began at the end of 2018. General and administrative expenses in the full year of 2019 were RMB1.095 billion compared to RMB313 million in the full year of 2018. This significant increase was mainly caused by the impairment of RMB890.7 million on amounts due from the related party, Jimu Group. We determined that the amounts due from Jimu Group were unrecoverable as Jimu Group has become insolvent, and subsequently in February 2020 announced its exit from its online lending platform business with significant outstanding loan balances on its platform left unpaid. As a result, we have provided a full provision for these balances. Research and development expenses in the full year of 2019 decreased by 16.7% to RMB79.1 million from RMB95 million in the full year of 2018. This reduction was primarily driven by our efforts to streamline our research and development operations. Operating loss in the full year of 2019 was RMB728.4 million compared to operating income of RMB11.3 million in the full year of 2018. Net loss in the full year of 2019 was RMB906.5 million compared to net income of RMB2.2 million in the full year of 2018. Total share-based compensation expenses in the full year of 2019 decreased to RMB17.8 million compared with RMB131.3 million in the full year of 2018. Adjusted net loss in the full year of 2019 was RMB888.6 million compared to adjusted net income of RMB133.4 million in the full year of 2018. Diluted GAAP and non-GAAP adjusted net loss per ordinary share in the full year of 2019 were RMB3.21 and RMB3.15 respectively. Now let's turn to our balance sheet. As of December 31, 2019, we had combined cash and cash equivalents and restricted cash of RMB580.9 million, compared to RMB710 million as of December 31, 2018. Total net financing receivables, including short-term and long-term receivables, decreased by 41.8% to RMB429.5 million as of December 31, 2019, from RMB772.1 million as of December 31, 2018. Admittedly, the impairment of the amount due from Jimu Group significantly impacted our income statement and generated a substantial net loss for us in the full year of 2019. However, it is important to note that our decision to eliminate our reliance on Jimu Group will allow us to enter a renewed growth cycle by focusing our efforts on risk-free technology services. These impairment charges were non-cash and one-off. Our principal businesses remain healthy. Excluding the total non-cash provision for credit loss and impairment charge for investment, the adjusted net profit would have been RMB202.1 million. In addition to full year of 2019, our net cash provided by operating activity was positive, further showcasing the sustainability and strength of our core business. In December 2019, we announced a share buyback program to repurchase our ADS for an aggregate value of up to US$10 million. However, following this program's initiation, we faced the immediate impact of COVID-19 pandemic. As such, to ensure that we'll be able to overcome the related market challenges in the near term and maintain our healthy cash position, we have suspended the share buyback program. Looking ahead, we will continue to focus on the implementation of our cost control initiative to further improve our operating efficiency. Our decision to scale down our risk sharing loan facilitation services will inevitably impact our revenues in the short term. However, under the current market environment, we strongly believe that prioritizing technology services and reducing our exposure to risks will further - will provide better stability as well as better quality earnings and profitability in the long run. In addition, as a licensed Pintec service provider, we will leverage our hands-on service experience to assist our partners in digitizing their operations and access intelligent Pintec services. This concludes our prepared remarks for today. Operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions] There are no questions. At this time, I would now like to hand the conference back to Mr. Allen Dong. Please continue.
Allen Dong: Again, thanks everyone for participating in the conference call today, and we look forward to a strong year. Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes the conference for today and thank you for participating. You may now all disconnect.
 :
 :